Operator: Good afternoon. And welcome, ladies and gentlemen, to the Acacia Research First Quarter Earnings Release Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are currently in a listen-only mode. At the request of the company, we will open up the conference for question and answers after the presentation. I would now turn the conference over to Mr. Marvin Key. Please go ahead, sir.
Marvin Key: Good afternoon and thank you for joining Acacias first quarter shareholder call. I'm Marvin Key CEO of Acacia Research. With me today is Clayton Haynes, CFO and Ed Treska, our General Counsel. Today I'll provide a brief business update, Clayton will review our financial performance and then we will open the call for questions. First our Safe Harbor statement. Today's call may involve what the SEC considers to be forward-looking statements. Please refer to our earnings release which was filed with the SEC today as an exhibit to our 8-K for our forward-looking statements disclaimer. In today's call the terms we, us, and our, refer to Acacia Research Corporation and its wholly and majority owned operating subsidiaries. All patent rights, acquisitions, development, licensing and enforcement activities are conducted solely by certain of Acacia Research Corporation's wholly and majority owned operating subsidiaries. The team medication research remains committed to maximizing the value of our patent assets for the benefit of shareholders and our patent partners. In the first quarter despite the ongoing industry headwinds and extensive structural changes at Acacia the company generated nearly $25 million in revenue. This number included the series of licensing transactions involving patent portfolios from Boston Scientific, Silicon Image, Nokia Networks, Venuti [ph], Adaptix and Cover Tech. The team at Acacia is also pleased to report we finally received and recognized payment from our trial verdict in 2011 for the case Lighting Ballast Control against Universal Lighting. A litigation which is ultimately led us to the United States Supreme court. As we mentioned during our previous shareholder call Acacia is focused on improving our business and the team is working diligently to improve both our revenue line and our expense line with the goal of sustained profitability from a top line perspective Acacia is continuing our effort to attract broader and more diverse revenue opportunities. We are exploring business development options from both in individual portfolio perspective and from a potential licensee perspective as well. In the first quarter as previously announced, our business development team brought in a new portfolio consisting of 90 issued U.S. patents, as well as various additional foreign counterparts. This portfolio contains strategic IP assets in flash memory components and controllers, SSD drives and other systems which use flash memory. In addition to this portfolio we are actively pursuing other compelling patent portfolios in the United States, Japan and Europe. While the number of patent transactions in the market place overall has declined and why we are not satisfied with our patent intake made our decision to move beyond solely to pursue a very large patent portfolios that also sourcing smaller yet strategic patent portfolios, will increase the scale of our business development effort, lead to an increase in our IP asset intake and generate better predictability for our business. Notwithstanding the difficult environment in the patent monetization business the management team Acacia continues to pursue a healthy pipeline of revenue opportunities. This stem from valuable portfolios including VoiceAge, Nokia Networks, Rambus, Renaissance and Silicon Image and we remain cautiously optimistic about our revenue generating opportunities for 2016. Moving to the expense side of our income statement, Acacia’s cost structure is receiving continued oversight as we review all line items. Our team continues to work diligently to identify inefficiencies in our business and to analyze additional opportunities to lower our cost structure and our headcount now stands at 29 professionals. We plan to continue aligning our resources with the needs of the business to reach cash flow breakeven and profitability for our shareholders. In the midst of the significant management changes in headcount reductions in the first quarter. Acacia receive several unsolicited increase and over choose from third party interested and pursuing a transaction of some sort with our company. As previously disclosed, the Board of Acacia unanimously rejected an unsolicited takeover attempt from Unilock Corporation. As a result of this and other overtures the Board prudently acted to protect the Company’s net operating loss carry forward NOL by unanimously approving the adoption of a tax benefits preservation plan. The company’s tax benefits preservation plan is similar to tax protection plan adopted by other public companies with significant tax assets and loss carry forward and has been described in our recent SEC filings. This plan is designed to reduce the likelihood that the company will experience and ownership change or takeover attempt that would subject the company to an annual limitation on certain of its pre-ownership tax assets. A limitation arising from an ownership change could depending on the value of Acacia’s common stock at the time of such ownership change, could reduce the Company’s tangible common equity. Currently Acacia has over a $160 million in federal income tax NOLs. Recently on March 31st, Acacia was pleased to receive a positive rule and our Saint Lawrence Vodafone Litigation from the court in Dusseldorf Germany. The court rule that Vodafone has infringed our Saint Lawrence patents and granted Acacia’s request before injunction against Vodafone. Vodafone immediately appeal this ruling, it has requested that the court of appeal stay the enforcement of the judgment. We plan to respond to Vodafone’s motion by April 22nd and our German Counsel expects the court of appeals to render a decision soon thereafter. If Vodafone’s request to say the enforcement of the injunction is denied. Acacia plans to quickly post to required bond, after which the injunction, we’ll go into effect in Germany. Acacia is helpful, the German court’s strong validation of patent rights we’ll lead to reasonable settlement discussions with Vodafone and other infringing companies. I will now turn the call over to our CFO, Clayton Haynes, who will provide a more thorough revenue of our financial results for the quarter.
Clayton Haynes: Thank you, Marvin, and thank you to those joining us for today’s first quarter 2016 earnings conference call. As detailed in the earnings release today, first quarter 2016 revenues totaled 24.7 million as compared to 34.2 million in the comparable prior year quarter. First quarter 2016 revenues were comprised primarily of 12 new license agreements executed in the quarter as compared to 23 new license agreements executed in the comparable prior year quarter. In the first quarter of 2016, four licensees individually accounted for 22%, 19%, 16% and 11% of revenues recognized as compared to two licensees individually accounting for 58% and 15% of revenues recognized during the first quarter of 2015. We continue to expect license fee revenues to be uneven from period-to-period. For the first quarter of 2016, we reported a GAAP net loss of 9.96 million or $0.20 per share versus a GAAP net loss of 13.1 million or $0.27 per share for the comparable prior year quarter. On a non-GAAP basis excluding non-cash stock compensation and patent amortization charges totaling 12.5 million, we reported first quarter 2016 net income of 2.5 million or $0.05 per share as compared to non-GAAP net income of 3.2 million or $0.06 per share for the comparable prior year quarter. Please refer to our disclosures regarding the presentation of non-GAAP financial measures and other notes in today’s earnings release and 8-K filed with the SEC. On a combined basis, inventor royalties and contingent legal fees expense decreased 8.4 million or 60% due to the 28% decrease in related revenues quarter-to-quarter and a higher percentage of revenues generated in the first quarter of 2016 having lower average inventor royalty rates, primarily due to higher average levels of cost recovery related preferred returns as compared to the portfolios generating revenues in the first quarter of 2015. As a result, average margins for the first quarter of 2016 were 77% as compared to 59% [ph] in the comparable prior year quarter. Licensee expenses decreased 11% quarter-to-quarter primarily due to a net decrease in litigation support cost associated with upcoming patent trails. These expenses will continue to fluctuate period to period based on future activity levels in those periods. First quarter 2016 general and administrative expenses excluding non-cash stock compensation expense decreased 1.1 million or 15% due primarily to a reduction in personnel costs in connection with our recent headcount reduction activities and a decrease in variable performance based compensation costs. The decrease was partially offset by an increase in non-recurring employee severance costs. First quarter 2016 non-cash stock compensation expense decreased 1.5 million or 47% due to a decrease in the average grant dates fair value for the shares expensed in the period and a decrease in the number of shares expensed resulting from a net reduction in employee headcount and a reduction in a number of shares investing for current employees. First quarter 2016 other operating expenses totaled 1.7 million as compared to 426,000 in the comparable prior year quarter. Other operating expenses include expense accruals for litigation related court ordered attorney fees and settlement and contingency accruals for various other matters. Cash and investments totaled 156.9 million as of March 31, 2016 versus 145.9 million as of December 31, 2015. Cash outflows for the first quarter of 2016 included patent related investment costs totaling 1 million as compared to 16.9 million in the first quarter of 2015. Looking forward, as Marvin indicated, we continue to work diligently with respect to lowering our operational cost structure. Quarter-to-quarter we’ve reported an 11% decrease in litigation and licensing expenses, a 24% decrease in G&A expense, and a 48% decrease in research and consulting expenses. We have reduced our headcount from 57 full time employees at the beginning of 2015 to 29 full time employees as of today, an approximately 49% reduction which results in an annual cost savings of approximately 5 million excluding non-cash stock compensation. As a result, we expect our 2016 fixed G&A expense excluding non-cash stock compensation, variable corporate legal and variable performance based compensation expenses to be in the range of 17.5 million to 18 million, representing an approximate 20% decrease from 2015 G&A expense levels excluding variable items. We continue to assess and analyze our litigation and licensing expenses for potential cost reductions and continue to expect to realize lower litigation costs in 2016 related to 2015. Currently, for fiscal 2016, we expect patent related litigation and licensing expenses to be in the range of 28 million to 30 million, depending on net patent portfolio litigation, international enforcement, IPR, and strategic patent prosecution activities occurring in 2016. Thank you again for joining us today. I will now turn the call back over to Marvin Key.
Marvin Key: Clayton, thank you. Operator, feel free to open the call for questions please.
Operator: Thank you, sir. The question-and-answer session will now begin [Operator Instructions]. Our first question comes from Mark Argento with Lake Street Capital Markets.
Mark Argento: A few questions around some of the changes you have made in terms of the cost structure. I know last quarter we talked a little bit about where you see breakeven, obviously you did 25 million in revenue this past quarter, just shy of 25 million and we’re able to generate positive EBITDA and positive adjusted net income. And so maybe just walk me through where you see the breakeven going forward. Does it come down even a little bit more with all the other changes you’ve made, but maybe help us think through what the operating model looks like here going forward?
Clayton Haynes: Sure Mark. Thanks for your question. Based upon our current estimates of costs or looking at a breakeven of anywhere ranging from say a 100 million top-line to 105 million top-lines. And of course Marvin has indicated, we’re continuing to try to find other areas to reduce cost, so those numbers can change throughout the year. But sitting here today right now we’re looking at between 100 million to 105 million.
Marvin Key: And I would add to that Mark that we’re yet to see the full benefit on a kind of a run rate basis to some of the changes that we’ve so far may during the first quarter.
Mark Argento: You said in your prepared remarks around legal. Do you think there is an opportunity to continue to work towards getting better rates from your partners on the legal side and be able to work that down as a percentage of gross revenue?
Marvin Key: I think that’s reasonable and it certainly one of the things that we continue to focus on, it’s obviously a major component to the cost structure of the company and we continue to focus on that. So you could -- you should consider that an ongoing effort. Yes.
Mark Argento: And one for Clayton, more housekeeping. I haven’t had a chance to review the balance sheet yet did you collect the cash from the quarter in terms of some of the larger deals you guys did? I’m just trying to juxtapose your 157 million in cash on the balance sheet in terms of additional collections and added to that total?
Clayton Haynes: Sure. So with respect both of the revenues that were done in the first quarter there is still a significant portion of that is in accounts receivable on as of quarter and schedule to be largely collected in the second quarter of 2016.
Mark Argento: Great. And then Marvin maybe you could give us an update on the Board process around CEO search. Where is that at if anywhere -- any update there? 
Marvin Key: Mark, there is no ongoing search for a new CEO and I will be the CEO litigation until further notice.
Mark Argento: Great. Last question for me and I’ll back in. Any, I know it’s a little bit of a hot button issue last conference call but any thoughts looks like you guys are stock piling a little bit cash, any thoughts on potentially team backup the buyback that you guys had in place or thinking about taking advantage of relatively low stock price?
Marvin Key: This is certainly something that we discussed regularly on shareholder calls and with investors. And the Board is always considering the best use for our capital. We made a pretty consorted effort as we move to turnaround this company that we’re focused on sustain profitability and the preservation of our assets, which obviously cash is a significant component. There are no plans for a share buyback or anything like that right now. However, you probably have seen announcements that individual directors, officers and different employees have been buying some stock and will have the option of doing so going forward. So that’s our indication of how we’re supporting our outlook for the company.
Mark Argento: Great. I’ll let back in the queue. Thanks guys.
Marvin Key: Thanks Mark. I appreciate it.
Operator: We’ll take our next question from Mike Latimore with Northland Capital Markets.
Mike Latimore: Great, thanks. Thanks Marvin, so you’ve been at the helm here for a quarter or so. You know you cut costs nicely and sort of maybe back off a little bit on the marquee portfolio strategy. I guess any kind other key decisions that you’re, you see that you make or do you feel like its more matter of kind of executing them?
Marvin Key: I think a lot of, what we’ve been doing this point is things that any executive would do in terms of improving the efficiencies and cutting costs, et cetera. And so our central message, the bullet points are maximize revenues, reduced costs, reverse the trends of the last several years and enhance shareholder value and we think we’ve made a terrific amount of progress in the first 90 to 120 days. So I think execution is absolutely fair amount and we’re going to continue to work to bring in new assets and we think that’s our biggest challenge right now is kind of making the intake of patent assets more robust.
Mike Latimore: Now on that topic the, it seems like obviously the price of patents has come down and there’s less up front capital needed, but I guess could you also see maybe better reps there that might help gross margin long-term or is that not part of the discussion.
Marvin Key: I’m sorry. Did you say increased revenue share to our advantage?
Mike Latimore: Yes. I mean as you negotiate taking in patents could you see just a higher percent retention for Acacia versus the patent owner potentially which might help gross margin long-term?
Marvin Key: I don’t think that’s very likely to happen. If anything in the tougher environment, our competitors are being price sensitive and you are seen some situations where our competitors are willing to take revenue shares considerably lower than our 50%. We have not backup that to this, at this point. So if anything as businesses gotten tougher as you might expect the people who are trying to compete against us are willing to cut prices to do it. And so we have not -- we held to our price line, if you will, at a 50% net revenue share and we expect to continue to do that in the future.
Mike Latimore: Okay. And you said you were cautiously optimistic on the year. I there any way to describing in your terms of how you view the activity levels whether it’s number of trials? And how do you view kind of fiscal ’16 versus fiscal ’15 in terms of sort of expected activity levels, is it similar is it higher or lower?
Marvin Key: Well, I think in terms of the trial dates and the litigation situation, it is not change materially in the last quarter. The third quarter is largely made up of CCE cases or representing the Nokia networks patents against defendants like Apple and Amazon, HTC and ZTE. So the third quarter is largely made up of those cases. In the fourth quarter, a little bit more diverse, we have some more CCE/Nokia networks trials against Samsung. We have some Puma cases against Apple and HTC and LG. And then we also have some cases in Texas for Saint Lawrence or our VoiceAge portfolio. So the fourth quarter is loaded with litigation and so that is not change for us. I would say the level of discussion in general, the company is excellent we’re meeting -- continuing meeting with a lot of large multinational companies and in an effort to reach some reasonable settlement discussions and we continue to do so and that activity is robust.
Mike Latimore: And just in terms of sort kind of revenue composition. Do you have much revenue to-date that’s coming from saying recurring royalty stream or is that pretty minor?
Marvin Key: We have a small percentage of at least somewhere around the 5% level, but our revenues today largely are of the one-time paid up nature.
Mike Latimore: I guess last question, the other expense in the quarter the 1.7 million. Is that kind of the one-time event do you think or will that repeat say in the second quarter, something similar?
Marvin Key: Those relates to specific matters and I think as we have discussed before time-to-time, we will need to make accruals for those types of matters. Sitting here today I’m not aware of any that would occur in the second quarter, but sitting here today I can’t say that we won’t have any additional in the second quarter.
Operator: We’ll take our next question from David Huff, a Private Investor.
David Huff : Was there an update on VoiceAge and HTC, I don’t think I hear it But if you did, can you please repeat it?
Marvin Key: Well in my prepared remarks, we talked about what’s going on in the German court. And just to recap, that did here on March 31st, that the court in Dusseldorf of course did rule that Vodafone is infringing our patents in VoiceAge. And the court ruled at that time that, they granted our request for an injunction against Vodafone and so Vodafone then as you might expect immediately appealed that ruling. We have to respond to that ruling and we’ll do so by tomorrow April 22nd.
David Huff : Vodafone and HTC are tied together?
Marvin Key: Correct. Vodafone is selling the HTC product.
David Huff : Okay. I know there is also actions with ZTE and Motorola. Are those also tied together in the same action or is that a separate action?
Ed Treska: David, this is Ed Treska. We’ve had a number of different actions. If you remember we had the Mannheim action which also involved HTC wherein junctions what issue, but that is up on appeal and we’re still waiting for the appellate court to rule on that case and then we have separate cases against Apple, Motorola and ZTE which were filed in December 2015 and early 2016. And so those cases are still in the pretty early stages.
David Huff : I want to move onto, there was an Adaptic license, it's obviously, is that like a situation of not throwing I would say good money after bad money, or just another five year fight that you had in other case with newer patents and I know you’ve been building the [technical difficulty].
Marvin Key: [Audio gap] still have a lot of other patents that are involved in other cases. But with respect to Ericsson in particular the upcoming trial in May dealt with the same patents, different claims, but the same patents that were litigated to trial in December.
David Huff : I also know when Adaptic -- the federal circuit heard the appeal, before I heard the recording I would said you know there was a 10% chance you can get a reversal on the handset side. After hearing it I would say maybe it's 40%. Is that something that the company wants to keep pursuing, the Adaptic handset side?
Marvin Key: Well, we are pursuing and I am glad you listened to the federal circuit argument. And for those that did, the justices were very engaged in the argument and certainly understood the points we were trying to make. So, I agree with you, anytime you go up on appeal the odds are technically against you, but I do feel the appeal went well and we will just have to wait and see. Obviously if it's reversed and we go back down to the district court, we do intent to pursue those cases.
David Huff : Okay, I’ve two more questions if I can ask. I talked in the past, questioned in the past about bundling licenses. I checked the docket the other day and it looked like one of those finally happened with possibly the largest handset maker in the world. Is that basically a function that you guys keep winning interparty reviews, final decision and getting them not instituted, yet you’ve win three or four marketing opinions, I think maybe even five and six and in this case and you added Caballero Cassady [ph] who is probably the best litigation firm in the country. Is that getting people to come to the table finally and we’ll see some of these large quarters coming up in quarter two, quarter three, and quarter four?
Marvin Key: David that’s a -- there is a lot going on there. I would say that we’re making every effort to be reasonable and conscientious in how we approach negotiations with all the companies that we’re negotiating with. There is a limit I think to how effective you can be if you’re constantly at odds and you’re constantly butting heads with your negotiating partner. So to the extent that we can work out something that we believe is reasonable in a less contentious manner, we’re open to doing so.
David Huff : That leads into my -- I guess my last question. The patent pipeline, you guys didn’t file too many cases in 2015 kind of pulling forward a lot of these larger deals and trials, getting rid of lot of the headline risk. Is there an acquisition target, how many portfolios you want to bring in?
Marvin Key: We’ve acknowledged that patent intake is our biggest challenge right now and it's also our biggest priority. It's getting a lot of focus at the company and everyone at the company is zeroing on that objective. In some respects when we were solely trying to attract major Gorilla like portfolios, there’re only so many others to go around. But we are encouraged and hopeful that by lowering the bar a little bit from a revenue perspective that we are open to considering a more diverse set of opportunities might be is going to open up the level of opportunity for the business development guys at the Company. So, that’s what we’re expecting. We’re still a little early in that process. But the intake is very important to the ongoing prospects for our company and we’re laser focused on it.
David Huff : Quick follow up question and then I’ll be done I promise. Was there a renaissance portfolio that was transferred over recently? The last one I have was the Limestone Memory, and the one before that was the SOTA Semiconductor, which time-to-money was really quick, Limestone Memory just had IPRs that were basically very good decisions came out today, and hoping that another one has been in the pipeline to keep building on this relationship.
Marvin Key: Ed Treska is shaking his head, no, he doesn’t believe anything else from Renaissance has been transferred over.
David Huff : Okay. That’s it for me. Thank you. I appreciate it. Thanks David.
Operator: We’ll go next to Ryan Levenson with Privet.
Ryan Levenson: Can you just clarify the, I think it was Mark’s question first about the additional AR that’s coming in the next, in the second quarter?
Marvin Key: Sure, sure. So often times when licensing deals are done sort of in the lateral portion of the particular quarter. The contractual terms associated with the payment providers for payment after the end of that particular quarter. So we will record those amounts as accounts receivable and again based upon the terms of those particular agreements, the majority of those payments are scheduled to be received in the second quarter of 2016.
Ryan Levenson: Okay. What kind income number are you talking about? That was really my question.
Marvin Key: Well the March 31 balance of accounts receivable is 25.2 million and like I said the majority of that schedule contractually to be collected in the second quarter of 2016.
Ryan Levenson: Okay. That was the clarification I needed. So you’re really talking about a cash balance of more like a $172 million?
Clayton Haynes: Well, if you’re going to look at like that, you also have to take into account that we do have some current obligations as well too that will also be paid out in the second quarter of 2016. And so there is cash schedule to come in, there’s also cash scheduled to go out.
Ryan Levenson: Now on your business plan, what kind of -- I think you said 100 million to 105 million is roughly the breakeven, is that cash breakeven.
Clayton Haynes: Yes. That is cash breakeven.
Ryan Levenson: Right. Is Q1 a fair extrapolation for the balance of the year on roughly quarterly basis, from a revenue standpoint?
Clayton Haynes: I guess, or we typically don’t give forward revenue guidance. So I’m not sure, I can answer that?
Marvin Key: Yes, I think --.
Clayton Haynes: Go ahead.
Marvin Key: As you probably aware our quarterly revenues can be quite volatile. But as David Huff before you observed we’re at kind of the cultivation stage on a number of different portfolios, that we’re currently working on and so we feel constructive about the discussions that we’re having and as a result of that, we’re hopeful that 2016 is a good revenue year.
Ryan Levenson: Right. David’s comments I think we’re very helpful in enumerating the positive things that are really in the very near-term pipeline. And I guess my question is really, do you anticipate the company burning cash Q2, Q3, Q4, Q1 of next year? I’m just curious is to what you think the cash position will look like on a going forward basis?
Marvin Key: Well, what we certainly hope, we don’t burn cash, and we don’t intent to burn cash, but until we generate revenues, we’re going to focus on something that we can control on a daily basis, which is the cost structure and we’re going to continue to make progress on that front. But we feel pretty good about the revenue side, so we are -- it’s our intention to generate free cash this year.
Ryan Levenson: Okay. So that leads me to the obvious question of why you need $157 million of cash and balance sheet and that’s going up, there is near-term receivables that are coming in and you have a business plan that calls for free cash flow generation. So why you haven’t -- I mean insiders are buying stock, but wouldn’t you deploy some of the cash on the balance sheet to by what your insiders think is undervalued stock.
Marvin Key: Well that’s a decision that the Board is always contemplating, I want to point out that it was only a couple of months ago that our stock was trading below cash. And investors were giving the company zero credit for their patent assets at any level. And so I think there was a belief out there that this company was at risks. And we’ve done, everything we can in the past 90 to 120 days to kind of stabilize and reorganize and redirector this business. So I think we’ve made an incredible amount of progress in short period of time and doing just that. But as we’ve repeated, we’re focused on sustain profitability and asset department.
Ryan Levenson: I need to ask you a question now. So the day of the conference call, you really made a very troubling remark, regarding the cash on the balance sheet. And the stock at that time is trading $3 a share. And there was a ton of liquidity in the ensuing few weeks at 3.25, 3.5 and yet the company didn’t see fit to buy any stock back at the time.
Marvin Key: So what’s your question?
Ryan Levenson: My question still, it's really my last question, which is why are you not buying back stock. Insiders think it’s a good buy, you have more cash than you need, you have AR coming in, you have a free cash flow generative plan and I’m just -- I’m just kind of confuse this to why you are in the cash hoarding frame of mind.
Marvin Key: All I can tell you is that the Board is continually considering their options for half of the best use of the capital of the company and that we are making every efforts to sustain the business, make it sustainably profitable and grow the business and we believe at this time that maintaining the cash balance is the proper course to take. We are always willing to consider what we do in the future and the Board will do so. 
Ryan Levenson: Okay. Can you start a little bit more light on -- I mean obviously is a low bid sent in during the quarter. And the Board just rejected it and I think implemented a pill for their tax preservation plan. Now can you shed a little bit more light on those discussions or was there discussion about revising a bit. Do you guys make an effort to see if this was a real acquirer that was maybe that was starting better or they would potentially raise their bid?
Marvin Key: Well we put out a press release, the Board --.
Ryan Levenson: That rejected the bid. So I was just wondering what the discussions were in terms of maybe trying to cultivate that bid.
Marvin Key: After we contacted Unilock, sent them a letter and put out our press release, we were rejecting the letter. We receive no further overtures from the company.
Ryan Levenson: Okay. That’s it, I appreciate your time.
Marvin Key: Certainly, thank you.
Operator: This will conclude the question-and-answer session. I will now turn the call back to Mr. Key.
Marvin Key: Thank you, operator. Thank you for the questions. We appreciate everyone’s interest and feel free to give us a call if you need further clarification. Have a good day. Thank you.